Operator: Ladies and gentlemen, welcome to the Comstock 2021, Year-End Financial Results and Business Update Webcast. Now, here's Comstock's Executive Chairman and CEO, Corrado De Gasperis.
Corrado De Gasperis: Good morning everyone. And welcome to our quarterly update. As you may have already seen, the annual report filed last night, a new website launched last week, and the shareholder letter published earlier this month reflect clearly new content for our renewable energy businesses and our mission of enabling systemic decarbonization. In 2017, we began restructuring the company and monetizing certain non-productive assets. Frankly, assets with value, but they are just for doing or going to do the job for our shareholders.  I'll provide a good substance to update on our recent total goal transaction and other non-strategic assets that we're monetizing on the call today. In 2020, with the restructuring completing and with the senior secured debt eliminated, we'd meaningfully shift our focus onto new investments in renewable technologies. Where we would have meaningfully differentiated businesses that would enable rapid growth, robust cash flows, all our persistently monetizing realizing the value or rather non-strategic assets for our shareholders.  2021, proved to be a pivotal year in this regard, where three key acquisitions completely transformed us into a renewable energy company. And re-positioned us for rapid growth starting now here in 2022. I'll provide an overview of these transactions, our resulting lines as businesses, our organization and our outlook for this growth. including the information in our press release from this morning and from our annual report filed on Form 10-K last night. If you don't have a copy of today's press release, you'll find a copy on our new website, www. comstock.inc at either the bottom of the new homepage or the top of the Investor page in the Newsroom section.  Our Form 10-K is also available on the website, on the Investor page under SEC filings. And of course, also via EDGAR on www.sec.gov. Please let me remind you that, we'll make forward-looking statements on this call, including the outlook for Comstock fuels and LiNiCo and our progress on the monetization of the nonstrategic assets. Please understand that any statements relating to matters that are not historical facts may constitute forward-looking statements. Our statements are based on current expectations and are subject to the same risks and uncertainties that could cause actual results to differ materially.  These risks and uncertainties are detailed in the previous reports filed by the company with the SEC and in this morning's press release, and all forward-looking statements made during this call are subject to the same and other risks that we cannot identify. Once we complete the prepared remarks, Zach is with me here, we'll accept and direct all questions zooming in and I will look forward to answering them. Let me briefly discuss our financial position. Our assets last year nearly tripled to $127 million from just $43 million in the prior year. And the same is true with our net equity, growing over $92 million, up from just over $30 million in 2020. We did all this while eliminating all of our secured debt, adding a state-of-the-art a 137,000 square-foot battery metal recycling facility here in Nevada. A large-scale prototype battery-crushing and separating system and cellulosic extracting system, all of those assets in Wisconsin, while building within extraction and by-only extraction prototypes in our innovation and research development facility.  This booked value is especially meaningful, when we consider that our mineral assets and our investments in Sierra Springs are recorded a cost at a tiny fraction on our books, that compared to their monetizable value. We also have an incredible portfolio of patents and intellectual property representing over 23 million in book value, and really effectively the driver billions of dollars in future value. We've also recorded revenue from engineering services for the first time in 2021, representing a first-class towards much more meaningful revenues expected here in 2022 and 2023 associated with cellulosic technology and equipment sales there too. We currently, as of today, have $67.7 million shares outstanding, reflecting our decision to terminate the LP bio-transaction and get the full $3.5 million shares in Comstock back returned to the company.  While I'm at it, let me hit MCU. The MC Philippine Team is in place there and operating. The system is fully permitted and operational and we spent the last three months extensively testing the river. I'm sorry that we haven't had better news sooner. And although we are finding mercury and gold amalgam on literally every sample hole tested, the grades have been well below our expectation. We will complete the testing over the next few weeks, just in the next couple of weeks, and make a decision on how best to deploy the system, based on contamination and gold content that we now see. These results are just not sufficient for us to operate it profitably. The hope is that we will discover much higher levels of mercury and gold amalgam, and so far, that has not been the case. We have proved that if there was more gold, that operation would be profitable. But today, we just not have found -- we just have not found enough. Frankly, our biggest achievement in 2021 was the acquisition and integration of an exceptional senior management team, and this portfolio of decarbonizing technologies that we're now commercializing. We are integrating into one organization, one system, Comstock Inc., with one goal, and that's to accelerate these high-growth decarbonizing technologies, while we're unlocking the value of the other assets by monetizing them.  The acquisition of Plain Sight Innovations, now Comstock Innovations, and Renewable Process Solutions is now Comstock Engineering, represent our newly established innovation in commercial development capabilities. Where we can now commercialize our own IP, physically demonstrate our technology and we're rapidly prototype new products for our customers. We can also engineer and manufacture these solutions for ourselves and our customers. We have already designed and built breakthrough crushing and separating solutions for advanced pure, highly mineralized black mass from lithium-ion batteries and we are currently advancing our extraction technology for lithium, cellulosic [Indiscernible] and [Indiscernible] and more. Our core competency is literally natural resource extractions. When we realized last year, that extracting technology was producing carbon neutral equivalent to petroleum, we immediately filed a trademark for that name by [Indiscernible]. Which we are now saying publicly today for the first time. All of our entire patent portfolio now resides in Comstock's Ip Holdings. Kevin Kreisler our President and Billy McCarthy our Chief Operating Officer having continued to lead the organization daily to this end.  We've also established Comstock fuels, which I just mentioned a bit earlier are 100& owned cellulosic fuels business representing one of our two renewable energy businesses. The acquisition of LiNiCo initially as a minority in early 2021 and now owning over 90& is led by our newly appointed President Leo Era (ph) and represents our other renewable energy business. Both of these businesses renew carbon neutral materials that fuel transportation. Leadership team including Kevin, including Billy, including Leo and David Winsness our Chief Technology Officer and Rahul Bobbili our Chief Engineer, will be on hand at this year's annual meeting on May 26 in Rino.  Please do registered and attend where you can speak me and discuss our capabilities with the entire senior team firsthand let me dive a little bit deeper into renewable fuels. We believe, that renewable fuels provides the most critical real world mechanism for decarbonization. However, today, most current forms of these renewable fuels through often from the same pool of conventional feedstocks, like corn-oil, like vegetable oil. Without any truly meaningful carbon benefits, that entire corn and vegetable universe only represents a tiny fraction of the global transportation burn. So they can barely make a dent. Any serious plan to meaningfully decarbonizes using renewable fuels most involved with [Indiscernible] and available feedstocks that no one else is using today. Comstock fuels own the portfolio of technologies that resolve these feedstock limitations by efficiently converting waste. That is widely available and rapidly replenishable waste, in the form of woody biomass into these advanced cellulosic fuels. We can do this today under existing regulations, incredibly profitable. And the federal government is now making sweeping changes to enable even more, which we recently publicly commented about. When we say wastes, we mean sawdusts, mill residuals, flash, that no one is using for fuels and that we're perfectly in our process.  We can now unlock vast quantities of these historically unused and underutilized feed stocks with enough renewable carbon to permanently offset billions of tons of fossil fuel emissions. This is real-world decarbonization and it's credibly response, to incredibly profitable. We understand that there is upwards to a billion tons per year of this waste biomass currently generated in the U.S. alone. That's enough to produce 1.7 billion barrels again, per year, of carbon-neutral fuels with our technologies, or more than a third of the U.S. transportation demand. This doesn't address the potential of underutilized [Indiscernible] plants, I'm just talking about the waste, the residual, the sawdust, the slush.  These under-utilized force plants can be restored and used to sustainably grow, harvest, and replenish, billions of tonnes of fast-growing energy crops for conversion into billions more barrels of renewable fuels, again, with our technologies. The combined outflow can exceed 50& of America turn out for fossil crude and it's a 100& renewable. Shockingly, Canada has even more. The impact here is massive. It's truly the equivalent of an oil well that could never run dry. And our technologies are effectively the drill that unlocks the natural resource. So our plan will be to rapidly build, deploy, own, and operate a fleet of advanced carbon-neutral extraction and refining facilities. Our goal is to safely generate $16 plus billion in revenue on an annual basis by 2030. We plan to design, build, retrofit an existing facility first and commence producing and selling cellulosic ethanol and diesel. And we're already assessing the sites for the next 10 facilities. Targeted the first one targeted the second one and we're assessing the sites for the next 10.  That's how we'll achieved rapid scale by capping into and leveraging the existing infrastructure. We're talking about left [Indiscernible] the existing infrastructure. We're not talking about building a new infrastructure. Our expanded team has extensive experience doing just that in this industry having designed and built over 20 large-scale industrial renewable fuels facilities. Meeting that objective alone would offset more than 234 million barrels per year of fossil fuel, which is about 6& of the U.S. transportation burden.  And only we're talking about 80& of this available U.S. biomass residuals. What I'm saying is that, we'll convert this untapped woody biomass into cellulosic drop in fuels, like diesel, like sustainable aviation fuel, like marine fuel, gasoline and cellulosic ethanol. These fuels work in the existing infrastructure, then diesel goes into existing trucks. This Aviation for -- goes into existing planes and works with existing depots, fueling stations, etc. And just one of our bio refineries, just one, can produce over a 100 million gallons of biofuel, per year. Which would represent about 70 million gallons of cellulosic ethanol and 30 million gallons of renewable diesel, again, per year. From just 1 million metric tons of woody biomass.  This is how we enable global decarbonization by burning last fossil fuels, burning smarter with more renewable fuels and burning cleaner by recycling munitions into more feedstock. I can stop there, but there's more. Because as we know, electrification is also playing a meaningful role in reducing our reliance on fossil fuels. Although frankly, the notion that it's the sole solution is factually and literally non-sense. But our second decarbonization initiative is our Electrification Products business, which results from our 90& ownership of LiNiCo. We are pleased to announce that we have on-boarded our new clinical President, as I just mentioned, Leroy Sierra. Leo has extensive background in building this type of renewable business. He's the founder of EnviroPower Renewable, Inc. that developed waste to energy solutions, both domestically and internationally. He has extensive domestic and international M&A experience, exceptionally strong financial projects and transactional management experience.  We're not only excited to have Leo fully on board, he's here in Nevada as we speak at the clinical facility. EDA registrations, of course are exploding more than doubled in 2021 and mitigating the most conservative estimates for these increases in EV demand, will likely result in about five times more lithium carbonate, than the entire mining industry produces today. But conventional recycling processes that we're seeing deployed, suffer from extremely high, if not, total loss of lithium. Our technology meets the realities of this demands and this demand shortfall, by extracting lithium early and profitably.  We will extract lithium immediately after crushing and separating in a manner that maximizes the lithium recovery, for reuse in batteries. These market-leading yields and additional revenues, allows us to be profitable at very low levels of production, very low production levels, by putting lithium first. We're also partnered with developing technologies for cleanly processing and producing other metals like nickel, cobalt, manganese, as well as technologies that can recycle our highly pure black mass and produce 99& pure precursor cathode active materials. Collectively, these technologies given one great scalability, including the ability to process up to 100,000 tons of spent batteries per year.  With broad differentiating advantages up and down the supply chain and up and down our noble processes. This path give our platform a much larger addressable market and there is no spoke or hub. Just a well-designed, well engineered, and fully integrated system with higher yields, faster throughput that are operating at the fraction of the industry's current costs. Our first commercial prototype 600 per day crushing and separating system is being assembled and commissioned right now as we speak. Once our Nevada permits are secured this summer, it will be located at our state of the art facility right here in Nevada, where we expect production this year.  This positions, they're recycling business to contribute billions of dollars to our enterprise value. Just from LiNiCo just based on existing valuations of comparable companies. And our proceeds advantages in that industry against those companies. Let me just conclude the prepared remarks with the monetization of our non-core assets. If it hasn't been obvious, we've been working hard to monetize our non-performing mineral and real estate assets. For us, performing means, generating socially responsible revenue, robust throughput, and impacting decarbonization. We are pleased to announce that; we've just completed a transaction.  Tonogold pays us $1.75 million this week, as a prerequisite for us exchanging the $6.5 million due this month, for an option to repurchase the Lucerne Mine by the end of this year for just under $8 million. This does technically mean that, we took back the ownership of the Lucerne Mine, at least temporarily, in lieu of the cash payments and a higher value that are due later this year. Plus, this is just one example of extraordinarily effective monetization of these assets. Tono is also separately paying us annually for the leasing of all of our other mining -- our northern mining claims, that they are planning to drill and develop with their capital, where we retain royalties on all of those properties.  They have committed to us in writing, tens of millions of dollars to the stand and this is another example of monetization. Tono will still reimburse us an additional $2 million per year for the cost of maintaining the lignin platform and certain mining property payment. Since this is yet another example for monetization, they have now completed their draft Escape 1300 that we have reviewed, and we expect that [Indiscernible] amount shortly. A very meaningful restructuring and realignment that resets their financial position and funds their development plans. We will also publish our own Escape 1300 and compliant technical report on the southern part of the district.  With delays and Spring Valley and host territories. Within reasonable proximity of [Indiscernible]. [Indiscernible] is on the northern part of the district. We're on the southern part of the district. Both these reports will have mineral resource estimates and the combined reports for present, substantially all the Comstock mineral districts and positions us to maximize another round of monetization. Of course, as of today, we own all the assets, including Lucerne. With goals hovering around $1900 an ounce the publication in these two reports is timely for meeting our monetization objectives. In closing, let me say we've already made remarkable process on our operating businesses.  We are currently building commercial pilot scale cellulosic fuels and facilities. And we are preparing to deploy in the lab recycling facilities in battle rated this year as I just mentioned, the monetization of our non-strategic assets will support funding of our new operating businesses, while limiting substantially all of our focus, substantially all of our focus to cellulosic fuels with lithium battery recycling. And the intelligent monetization of these other assets to unlock the highest value for our shareholders. Excited to take all your questions. Please let's stop here and let's go right into the Q&A.
A - Zach Spencer: Thanks, Corrado. We have had quite a few questions submitted during your presentation. And I know you have addressed all of these different lines of business. So the first one is, with respect to GenMat and to the extent possible. Can you provide some further details about GenMat? And also there was an NDA discussed a few months ago, when does that end? They want to know if it's a timetable work that's based on the completion of some milestone.
Corrado De Gasperis: Thank you Zach. So yes, we appreciate the question very well. So I think, as we evolve here, and as we are making it clear, we are prioritizing -- we our prioriti -- priorities are. Especially, our mission of enabling systemic decarbonization. It's going to become clearer and clearer to everyone how GenMat has aligned with our goals. Having said that, right. Having said that, and you know that GenMat 's core business objective is to generate new materials. New materials, where for us, we're prioritizing carbon capture, decarbonization of the energy infrastructure, and as well as batteries and battery science.  So GenMat is working on those objectives. As a policy, as a rule, we won't talk about the research and development activities until the achievements are made and are communicated to everyone at the same time. So I'd like to leave it by saying that, the schedule of GenMat work stands the next 18-24 months. That's the timeframe, where they're going to be dedicated to the general material science work that they're doing, and as those results come out, not only will they be meaningful, but you'll see clearly how they are aligned with everything else that Comstock Inc. is now focusing on as a priority.
Zach Spencer: Thank you Corrado. We have had a few questions about MCU. Would you please detail the MCU revenues and projections? Thank you.
Corrado De Gasperis: Thanks, Zach. So I mentioned that we were disappointed by the results in the river in the Philippines. Let me put context there. When we went into Philippine project, let me say in Columbia River, we were expecting to be taking large fines of mercury amalgam out of that river with average grades representing at least a gram per tonne. Some of you have heard me say that at a gram per tonne, we can be generating million dollars a month. We're sampling now with results that two-tenths of a gram, even less so it's not sufficient for the system being profitable.  If those results were higher, in other words, if the grades were higher, then we would have the ability to generate the cash that we were looking forward to. What we're going to do is we're going to complete the testing that we want to be thorough. We're working incredibly well with the local environmental regulators, cannot be going better. Credibly roll with our local joint venture partner. None of that dismisses the depths of disappointment, that we're having with the results not being there. So after that work is done, we will assess the current situation and we will decide what the best next steps are, in terms of deploying these assets.  I also want to emphasize; we own 25& of MCU. We are not deployed with our human resources, we are not deploy with our cash working this business. So we're focused with substantially all of our resources, it's substantially all of our dedication to the renewable energy businesses now. So it's disappointing for me as I think it is for everyone, it's not finished. But we will have meaningfully specific results, in terms of the Philippines, shortly and as we go forward.
Zach Spencer: Corrado, we have an overall question. When will our investments lead to visible revenues?
Corrado De Gasperis: Thank you, Zack. So I've alluded to it in the shareholder letter, I've alluded to in the press release this morning that, we will be communicating in the nearer term. I'm not going to put dates on it. We're going to deliver, when it's ready to be delivered. But in the near term coming soon, a meaningful engagement that will result in meaningful revenues 2022 and 2023, relating to our cellulosic fuels technology and equipment.  So that's something we're very excited about. It validates in a number of ways, what we're doing and what others can do with our technology. In no way that limits what we're going to do and what I just described we're doing with that same technology. In other words, there are other applications of this technology using woody biomass that go into other markets that we are thrilled to help enable others to do internationally.
Zach Spencer: Okay, Corrado. Now, we have a question about mining. What is the status of the Dayton Consolidated and Spring Valley? Are we close to publishing a report on these profits?
Corrado De Gasperis: Geological work is finally complete, the digitization and integration of that work into the model is near complete. The consultative audit work that [Indiscernible] has to do is deeply in progress. Once the final models are completed and audited, we will look towards publishing net report, hopefully in next couple of months. I think it will be pretty well synchronized coincidentally, not by design with Tonogold publishing their Escape 1300, as we said, and I'm very satisfied to say there will be two technical reports with mineral resources measured, indicated, and inferred mineral resources promulgated and communicated in both of those reports in the very near future.  And when it comes to our mining assets, let me be clear, we're allocating our capacity, we're allocating our capital. So you [Indiscernible] fuels, were [Indiscernible] hitting our capacity, we're dedicating our resources to lithium-ion battery recycling, putting lithium first, and we are partnering with others to deploy capital and to monetize these assets and to unlock the value for our shareholders. But you won't be seeing Kevin newly, David Rowel, Leo, or any of our management team building, commercializing the businesses, you will be seeing Larry Mike boarding the ability for others to do effectively.
Zach Spencer: Throughout a week, we received several questions about an update on LiNiCo. l know you provided one during your presentation. A lot of listeners are asking about, when will we commence the battery recycling? And when can we expect revenue?
Corrado De Gasperis: So thank you for the question, Zach. So I mentioned on the call that, we expect it to be up and running by the end of the year. Let me just give you a little bit of color. We've engineered and designed a system that we think is novel in a number of regards. First, we have a very diverse ability to accept diverse feedstocks from the largest of EV batteries to the smallest of power tool batteries. We literally, can feed the system with the diverse array of feedback. This is important because EV batteries, which is the tsunami that people see coming and we see coming, right. Still have some time before the wave crests and crashes the market with all these EV batteries coming off market.  But in terms of electronic devices, the way it though already crested, right. The ocean is already out there. And so the ability to take diverse feed stocks as a differentiator that we're very proud of, the ability to take diverse feed stocks and even charged batteries into our system safely, is something we're very proud of. The ability to extract lithium, and I mentioned it on the call and it's worth reemphasizing, our core competency is extraction. Extraction of minerals from natural resources, from waste resources. When I say core competency, I mean, we have decades of experience doing this with other materials and other applications.  We have decades of experience doing this directly with cellulose and cellulosic sugars and ethanol. And the same technologies that we have patents and intellectual property around is being used to extract lithium for from the black masses. So this is a synergy that is hard to quantify the value of it's remarkable. And so all of that is being commissioned, put into process and from infraction perspective being developed right in our R&D facility. Once we have the permits, were going to move that prototype, which is not small. Six tons per day, is not small. It's not 100 tons per day, like the main unit, but it's not small.  And we'll be able to receive crush appears to black mass and sell those materials. That's coming very soon. Then we'll be able to extract lithium thereafter. And that's coming and when we'll profitable very low levels of volumes, these are the differentiators that we see when we compare ourselves to others. We don't see anybody extracting lithium. I mean, actually, we see that they're not extracting lithium. We see that they are selling black mass and getting zero for the lithium, yet they're highly valued. So we feel we're right behind them and once we prove it, once we demonstrate it, then the value will be clear to everybody else as well.
Zach Spencer: Thank you, Corrado. The next question is, please provide us with an update on our non mining assets such as our land and real estate in Silver Springs?
Corrado De Gasperis: Sure. There's really two buckets, the Glenn Silver Springs and the Daily ranch. The Daily ranch we have full expectation to be closing on the sale of Daily ranch, $2.5 million before the end of the Summer. That's an active transaction that seems nearly certain to close. We have a great counter party who's reached the property. The two year lease with the option to buy. They've indicated they are ready to exercise the option they are going through the process that seems to be going extremely well in terms of the Silver Springs assets, right? There has been delays in that context.  We understand that the fund that has contracted to and put a deposit. On those assets, the agreements to close them by the end of June, that funds actively raising money, it successfully raising money is raising money at much higher values than when it started two years ago. It's been a little slower than was anticipated we expect that to close all-in-all you're talking about $15 million of non - dilutive proceeds coming into the company within the next 5, 6 months.
Zach Spencer: Corrado, people would like to hear more about Biolium and how it is produced. And also, our expected revenue generation from it.
Corrado De Gasperis: Once this gets traction, once people actually understand what we now understand, it's going to be a remarkable realization. The ability to take from waste effectively, the carbon neutral equivalent to petroleum and turn it into diesel fuel that can drop into existing vehicles. Turning it to sustainable Aviation fuel that can drop into existing planes. Marine fuels that can drop into ocean bearing -- freight bearing liners. From waste and any other derivative that comes out of petroleum, the carbon neutral replacement, things are going to get excited.  How is that realization going to occur? First, by us telling people what we have. Secondly, by us demonstrating it to the world. And so, we are building -- we are designing and building a prototype to do just that, in exactly the same fashion that we do with the lithium ion battery crushing and separating system. When that comes online, we will be able to demonstrate, not only our ability to produce pulp cellulosic sugar and ethanol, which we can do today in our facility. We can do today in our facility. Already done from the same material, liquefying extract carbon-neutral equivalent to petroleum, which we're calling by Biolium.  There's going to be an incredible amount of excitement outside the company. I can tell you guys right now, there's an incredible amount of excitement inside the company. This is one of the single largest discoveries and variables in our decision to move so hard and so singularly focused to renewable energy. We acquired Plain Sight Innovations now, Comstock Innovations, because we knew they can take woody biomass and convert it into cellulosic ethanol. Cellulosic ethanol, which is superior in every single way to corn ethanol.  It's identical molecularly, but which when you're taking waste material at a fraction of the cost of the feed stock. And you're getting revenues at dramatically increased percentages because of this specific carbon impact that cellulosic fuel has, as compared to corn ethanol, cellulosic ethanol as compared to corn-ethanol if they're getting RINS as they're getting carbon credits of $0.40, $0.50 a gallon, we're getting them at $2 plus a gallon, that's what we're talking about a difference in revenue that is dramatic and a fraction of feed-stock that's dramatic we can do that. That's already know, that's why we bought Comstock Innovations, formerly known Plain Sight Innovations.  That's also why we bought Renewable Process Solutions because they built 20 similar facilities over the last 15 years but the brake-through to be able to extract not just the by-product. We we're diligencing the stuff. We were talking about some by-products. What is [Indiscernible], what do you do with that? You're burning in a boiler. Is that good? Yes, that's good. Saves you money, has carbon impacts now that excited. To be able to create and derive the molecular equivalent of petroleum, and even find variations of that, I can exaggerate the drama. I can exaggerate the meaning of that. And then you say, well gosh. How are you going to do that? We already know how to do it. Take an existing 100 million gallon ethanol facility. Convert this feedstock equation instead of making 100 million gallons of corn-ethanol. Like 100 million gallons of cellulosic ethanol or 70 or 80. But then for another 30 million of diesel, same facility, same feedstock, the derisking nature of this breakthrough. When we're talking about taking existing platforms, with existing profitable throughput [Indiscernible] and then adding a whole another streamed to it, we respond.  And so, I couldn't be more excited, but I hope that the least touches on what we see coming with Biolium. I want to reiterate, Annual Meeting is May 26. Kevin is going to be there. Billy is going to be there. David is going to be there. Raul is going to be there. You want to talk about this? That's who you want to be talking directly to, I very strongly encourage you guys to register and be in Reno on that Thursday.
Zach Spencer: Thank you, Corrado. And just a reminder to everyone, you can register for the annual meeting on our new website. And Corrado, that takes us to our next question and statement. Thank you for all of your hard work. The new logo and website look really good. When will the new hats be available?
Corrado De Gasperis: So they're already in progress. I'll tell you guys. I know maybe we're being funny, but they will be available for the annual meeting that for sure. So there was some -- there nice thought put into the logo, the similarity, especially. I think everyone can see regardless of how you feel about climate change that there's a global share in sentiment. That's nice -- Global shifts in sentiment are nice. People are paying attention, capital is seeking in solution. But what's really [Indiscernible] is when you have the technology that's profitable, when you have the technology that's impactful. And you can synchronize the rate at which you decarbonization and make money with no conflict.  That's what we've been working on for seven or eight months here and we have the solution out. When I say we have the solution l don't want to come across the wrong way. There's going to be developments that advance the yields on the usual, there's going to be developments on breakthrough and advancing the yields on Aviation fuel we're going to be working our buss off, right for the next 24 months just making it better.  I don't it's like we're not going to finish line. Like we're at a starting line. And the line starts with profitable solution so we can start building these solutions now, we can start generating throughput with these facilities. We're moving forward now. We've cleared the day on minimum sufficiency. They're highly profitable, we're going to continue to develop and expand. How many things can you do with oil, right? The same exact thing that's what we're talking about.
Zach Spencer: Corrado, you stated in your recent letter to shareholders and also in the 10-K that there are announcements coming about near term revenue. Can you please share more information on this?
Corrado De Gasperis: Really it's the similar question than I answered previously. We have a great situation with an international company, with a huge woody biomass footprint that's going to use our exact technology not to produce cellulosic sugars, not to produce fuels, but to produce intermediary, that's extremely profitable. It validates our tech, brings in revenue this year, brings in revenue next year, which is really frankly a nice bridge to getting our first facility online. People should not expect the first facility online to be online until 2025. But you can expect frequent updates to our achievements, our processes, our prototypes, you can expect demonstrations of our ability to deliver these solutions. And I mean, physically demonstrate. What we're saying we can do. That prototype scales that prove the viability that's what we're hustling to do, right. We're hustling to show quickly. Fast as we can, that we can do it. And we're doing it, we're excited about it. It's going to take a little bit of time, but we're going to do it. And when we can do it, we're going to show everybody in the same time. We're securing the first site in the same time we're looking for the next nine sites at the same time, we're building plans. The question that people will ask.  And I'll just preempt it is having finances well, when you see the robustness of the cash flows, you finance it at the project level and we're already directly engaged we've already incredibly strong feedback on that point, so we will look to regionalize these operations and it all ties for the feedstock. We know where the feedstock is that's where the facilities are going to be its not a secret and that's where we'll go back.
Zach Spencer: Excellent. So yes, that was good for the near term, as well as financing at the project level. People like to know, how much capital we will need to hit the $16 billion mark in 2030? And if you could provide a little more clarity on, how we get it to that amount?
Corrado De Gasperis: I just alluded to it. Let me just say this. Facilities [Indiscernible] a few hundreds of millions of capital's worth. They're not small facilities. They produce a 100 million gallons of fuel per annum. And what I just said, and I want to reiterate, is that we are getting interest to finance, both equity and projects finance, and at the project left off. So we're going to do everything in our power. And we're getting great reception. I'm not even feeling like this is a lot of wood to chop here, to ensure that we minimize dilution of low shareholder and we maximize the value. I would like to make a point; all the technology resides at low.  Our goal is to accelerate the commercialization of these technologies at the low level. Comstock Inc. holds the technology, Comstock Inc., holds all the growth prospects. Comstock Inc holds the growth in that value. The subsidiaries thinking on this is just operating cash machines. By the way, the Comstock owns substantial majority of those two, willing to [Indiscernible] at that local level means maybe minority will come in as equity and debt financing and projects in the unsafe.  And that's a cash machine that's a cash machine that returns cash to Comstock. That's a cash machine that returns cash to the financial capital at the subsidiary level. Comp. The cash Comstock that the growth that comes with the existing technologies and with the new technologies that will be rolling out from year, that's the model.
Zach Spencer: With the new lines of businesses, do you expect to be able to receive any grants from the government moment for these new businesses?
Corrado De Gasperis: Yes, the answer. We've dedicated senior resources and quite frankly, Billy, Kevin and David have spent a lot of time with our other senior resources. Tracy, to identify the available alternative sources of funds. The list is big. I mean, the dollars are big. And in terms of high level, we qualify across a broad spectrum. So we're rolling up our sleeves now, and we're looking to bring in some of that and I'm sure some of that will be there. I don't have any specifics though, to discuss that. When we get grants, federal, or otherwise, we will communicate that.
Zach Spencer: In addition to the 10-K being filed, there was an S-3 filed today, could you please provide some more details about that filing?
Corrado De Gasperis: Yes, absolutely. Ever since 2012, we've always had and we always will have a Form S3, which is essentially a registration statement, "on -the - shelf ". It's only our future responsibility to ensure as a public company, we have efficient access to the capital markets. The shelf is identical to the one that was there three weeks ago, it's identical to the one that was there three years ago. It's identical to the one that was there 10 years ago. Having said that, it doesn't mean we have any plans to use the shelf, but we will as we need it, to ensure liquidity and ensure our stability. We're very excited about the valuation potential of this company.  If you're talking about $16 billion in revenue, which I'm going to say is a safe number. We're talking about $16 billion in revenue. When you start thinking about multiples of that number, that's when you should start thinking about our valuation. Will there be more shares in $67 million outstanding? There will be, but it pay off in relative comparison to the value that's going to be created. So I'm sitting in the best possible situation right now with a very tight shareholder base, with 67 million shares outstanding, with the cleanest capital structure you'll find anywhere for growth of that value. And look, it's not a one man show here. We've got five senior managers that were and are capable of being CEOs. This is a big endeavor and we're dedicating in the serious resources. And so that's the shelves.
Zach Spencer: Okay and moving back to LiNiCo. Can you speak about the feed stock that you have there? Specifically, the relationship that we have with Aqua Metals.
Corrado De Gasperis: Absolutely. To two questions, right? So in terms of feed stock, we've been very happy today with sort of the round lows of feed stock work that we've done. But it's been limited in scope intentionally to receiving as much of a variety of different feed stock as we could for development -- for research and development. If you want to think of it that our prototype 6 tonne per day prototype, it's not small and what it's designed to do not only produced the pure black masses and by the way, our prototype is nearly identical to the full-scale system. Not only produce pure black masses but evaluate the variety of feed stocks that come in, that has nickel, mainly these cobalt that have lithium carbonate. There are at least five major types of these LIBs and plus all the different types that come from all the other devices. We're not only able to produce and sell black mass with the system, but we're going to use it primarily for putting through the most diverse array of feed stocks, that we can get our hands on. And to that end, we're getting a lot of diverse array to feed stocks. Of course, we don't want more [Indiscernible] of diverse array of feed stock.  We want very small quantities to do all this testing. That's what we're doing. Secondly, we have secured a storage site, and if you look at the other companies appear in northern Nevada that are delving into lithium-ion battery recycling, everyone's done the same thing, I think we've done it best. We've secured a site for processing. In our case, we have state-of-the-art 137,000 square-foot battery metal recycling facility, ready to go. What does ready to go mean? Just as an update, all of the facility was sterilized relating to the former owner, Aqua Metals. They paid for it, they took the lead out. Secondly, we've fully restored the refinery and the infrastructure of the buildings. It's done, it's ready to go.  And then secondly, you have to have a separate facility for storage. We secured a 200 acre site in Mound House, Nevada in immediate proximity to Highway 50, which is an immediate proximity to our facility in the Tahoe-Reno Industrial Center. And that location will now undergo a relatively shorter permitting process that will allow storage of batteries. And so now we are engaging in counter parties to talk about and secure larger quantities of the right types, of the right feedstocks, to feed our facility later this year. So we're happy with the progress its probably the area that's going to take on priority emphasis now that the other prerequisites are in place. Now that we can receive any type of battery from anybody body and tested, that's one thing. And we can start to receive larger quantities of batteries and stores can't do that today, just to be clear, right. But we secured the site for commencing the engineering will get the permitting done. That's the three or four month process. Okay. Timing is perfect for what we're. It's all Synchronized.
Zach Spencer: Corrado, that concludes our question and answer session. I would like to thank everyone who attended the webcast today and submitted their questions. And I would like to turn it back to our Executive Chairman and CEO, and Corrado De Gasperis for his closing remarks.
Corrado De Gasperis: Sam, my only closing remark is that we really worked hard tirelessly. Our teams internally to get a [Indiscernible] and 10-K that most accurately -- most completely reflects our company today. To put out a website, admittedly, you just a few pages that accurately reflects our business today, and set ourselves up so that as we now engage the markets, meaning in our battery providers, meeting off-takers, meaning investors, when they go and look at who is  Comstock, Inc, they can read in the 10-K, they can read on the website, they can read it in the shareholder letter, they can see consistency of purpose and just please, if you can in-person, we'd love to see you on May 26 at the Annual Meeting. And certainly, we'll be communicating with you between now and then with our first quarter and the results that we've talked about. Thank you all for your interest and consideration.